Operator: Good morning, and welcome to United Airlines Holdings Earnings Conference Call for the Fourth Quarter and Full Year 2025. My name is Colby, and I'll be your conference facilitator today. Following the initial remarks from management, we will open the lines for questions. [Operator Instructions] This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Edwards, Managing Director of Investor Relations. Please go ahead.
Kristina Munoz: Thank you, Colby. Good morning, everyone, and welcome to United's Fourth Quarter and Full Year 2025 Earnings Conference Call. Yesterday, we issued our earnings release which is available on our website at ir.united.com. Information in yesterday's release and the remarks made during this conference call may contain forward-looking statements which represent the company's current expectations and are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our earnings release, Form 10-K and 10-Q and other reports filed with the SEC by United Airlines Holdings and United Airlines for a more thorough description of these factors. Unless otherwise noted, we will be discussing our financial metrics on a non-GAAP basis on this call, and historical operational metrics will exclude pandemic years of 2020 to 2022. Please refer to the related definitions and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures at the end of our earnings release. Joining us in Houston today to discuss our results and outlook are Chief Executive Officer, Scott Kirby; President, Brett Hart; Executive Vice President and Chief Operations Officer, Toby Enqvist; Executive Vice President and Chief Commercial Officer, Andrew Nocella; and Executive Vice President and Chief Financial Officer, Mike Leskinen. We also have other members of the executive team on the line and available for Q&A. And now I'd like to flip the call over to Scott.
Scott Kirby: Thank you, Kristina, and thank you to everyone for joining us today. 2025 had more than its fair share of unusual challenges, but the people of United did a truly remarkable job of living our no-excuses culture, focusing on the customers and overcoming obstacles. Last year, was really a proof point that the strategy we've had to build a revenue-diverse, brand-loyal airline at United for the last decade is not only working, but it's remarkably resilient in tough times as well. The proof is in the numbers, and we expect to be the only U.S. airline that managed to grow EPS year-over-year despite all the headwinds. The United team truly is the best in global aviation, and I'm very proud of them. They have made today's United a remarkably different airline than it was in the past. Before turning to 2026, I want to wish all the best to a friend and an industry icon, Glen Hauenstein. My first real introduction to what has become modern successful airlines like Delta and United was at Continental in 1994 with Glen and Andrew Nocella as they were dismantling CALight and building the Newark and Houston hubs that we at United are now proud to call our own. I remember Glen once coming into the conference room where I sat and yelled at me for being too loud. Something, by the way, that my wife, Kathleen, wholeheartedly agrees with Glen on. At an airline, I think the most important and impactful job is building a great commercial strategy, and a large modern airline simply cannot succeed without a commercial superstar. Glen and Andrew are simply in a separate league from all the other commercial minds around the globe. And Glen, on a personal level, given the momentum at United, I'll just say that your retirement timing is impeccable. After a solid year in 2025, 2026 sets up as more of the same at United, but with a much better industry backdrop. Our plan has been working for the last decade and while we make minor adjustments to it every year, the core of building a great revenue-diverse, brand-loyal airline remains the same. We've had the right strategy for a long time now and the United team across the board is just better at executing than any other airline in the world. I'm proud of them and excited as we continue to build the best airline in aviation history. On to you, Brett.
Brett Hart: Thank you, Scott, and good morning. While 2025 presented a challenging macro backdrop for the industry, we remain laser-focused on the customer experience and on building brand loyalty. Continued investments in the travel experience, communication and reliability helped us navigate disruption and deliver for our customers. Our strong Net Promoter Scores for the year highlight the care and consistency built into the United travel experience. Despite the operational headwinds of the year, we finished 2025 with an almost 3-point increase in our overall Net Promoter Score. And during the month of November, amid an unprecedented government shutdown and real-time flight reductions, we had the best NPS month in the company's history. This is a testament to our customer focus, decisive actions and customer-friendly policies and commitment to transparent communication especially during disruptions. Toby will share in more detail the specific actions we took to produce these customer-friendly results. We've also continued to innovate, and in the fourth quarter, we introduced new features and more personalized updates in our award-winning United app, including enhanced mobile bag tracking, virtual gate, real-time boarding updates and more detailed arrival information. These enhancements are designed to improve transparency, save customers' time and provide clearer real-time communication at key moments of the journey. With more than 85% of customers using the United app on the day of travel, another one of our competitive advantages and we are confident that these investments are meaningfully enhancing the United experience, earning customer trust at every touchpoint and winning brand-loyal customers. On labor, we are currently in active negotiations with 4 of our labor unions. We look forward to reaching industry-leading contracts with these groups, and we'll share more when able. We have a bright 2026 ahead of us, and I want to thank our employees for the important work they do every day. I am proud to say they will be receiving over $700 million in well-deserved profit sharing for 2025. Their resilience and shared commitment to our values and customers are what make United strong. I now hand it over to Toby to discuss our operation.
Toby Enqvist: Thank you, Brett, and I'm happy to join you all on this morning's call. At United, we're proud of our no-excuses culture and last year it was really put to the test as the United operations team confronted a wide array of challenges outside of our control. I'm so proud of how the team responded and delivered for our customers. Capitalizing on investment in our people, new tools and other innovations allowed us to be nimble and react quickly to capacity directives from the FAA and to recover faster and stronger during other irregular operations than ever before. As a result, we had the highest seat completion factor in our history and #1 of the big 3 legacy carriers in 2025. In fact, at O'Hare in 2025, we canceled half the seat rate of our largest competitor. We flew a record 189 million passengers and ranked #1 in STAR D0 for the second year in a row. For the year, United ranked #2 in on-time departures and #2 in cancellations. Our United Express operation delivered 134 days of perfect completion. This is a remarkable performance in the face of the outside challenges that we face at Newark and staffing challenges at the ATC. Beginning in the early November, the FAA directed airlines have temporarily reduced departures at 40 major airports due to staffing and system constraints from the prolonged U.S. government shutdown. We work closely with FAA leadership to swiftly implement the reductions, and we want to thank them for their partnership. At United, we were intentional with how we made these cuts. From the start, our priority was protecting the integrity of our network. We made a clear decision not to cut long-haul international and hub-to-hub flying. Those flights are the backbone of our network and aided in retaining connectivity and flexibility for our customers. We focused on reductions where we could minimize customer impact, with the majority of cuts concentrated on regional flying and non-hub domestic routes with smaller narrowbody aircraft. In many cases, that meant trimming frequency on routes where there were multiple daily options rather than eliminating connectivity altogether. Where we could, we consolidated flights in fewer departures with larger aircraft to move the same number of customers more efficiently and reducing further disruption. Even with these changes, total cancellations were only approximately 4% of departures during peak periods and had a minimal impact to our capacity in the quarter. Operationally, I'm very proud of how our team managed the rolling schedule changes. We're no strangers to managing through irregular operation and that has contributed to the speed and flexibility in which we respond to these situations. We published cancellations several days in advance to give peace of mind to our customers and directly communicated any changes through our app and website and focused on reaccommodating customers wherever possible as quickly as able. Notably, nearly 60% of our customers, who's flights were canceled were rebooked within 4 hours of the original departure time. Any customers traveling during this period could request a refund even if their flight ultimately operated and that included nonrefundable and Basic Economy tickets. It was the right thing to do. Thank you to each United employee who helped us successfully navigate these real-time schedule changes. We closed out the year on a high note. United delivered the best operation in the industry over the holidays, ranking #1 in on-time departures and on-time arrivals. We canceled less than 1% of our flights during the holidays. And following the Caribbean airspace closure in early 2026, we added 10% more seats over a 3-day period to help customers return home, an outstanding way to close out the busy holiday season. 2025 is a year we should all be proud of, especially given the multiple headwinds United and the industry faced. Running a strong operation sets the foundation for delivering on our financial commitments and it helps attract the brand-loyal customers that we speak so much about. Thank you again to our incredible team here at United, and I look forward to building on our momentum in 2026 together. Now to you, Andrew, to speak about the revenue environment.
Andrew Nocella: Thanks, Toby. United's top line revenues increased 4.8% to $15.4 billion in the quarter on a 6.5% increase in capacity year-over-year. Consolidated TRASM for the quarter was down 1.6%. Q4 was United's highest revenue quarter ever. Premium cabins outperformed main cabin once again in the quarter. Premium cabin revenue were up 12% year-over-year on a 7% more capacity. PRASM for premium cabins outperformed the main cabin by almost 10 points in Q4. Main cabin revenues were up 1% on a 6% more capacity for the quarter. For the year, premium revenues increased approximately 11%, while standard and Basic Economy revenues were down approximately 5%. We did see a nice bounce back in our international flying in Q4 after a challenging Q3. The Pacific and the Atlantic performed well with PRASM turning positive in both regions. Latin America, on the other hand, had yet another challenging quarter. Cargo revenues for 2025 were up or were $1.8 billion to -- up 2.1% year-over-year. Loyalty revenues for 2025 were up 9%. Remuneration from global co-brands was up 12% for the year and 14% for the quarter. And for the third year in a row we added over 1 million new co-brand cards. As we look to Q1 2026, we expect to see sequential improvement. The possibility that all regions have positive RASM year-over-year. Last year did start very strong from a bookings perspective but then dropped off sharply towards the back 3rd of January and for the rest of the quarter. Based on what we've seen so far this year, bookings and yields are outpacing the strong start from last year, and we're hopeful that the momentum will continue, which could admittedly cause our guidance to feel a bit conservative. We also expect the domestic capacity environment to be quite favorable for the first half of 2026 with small but meaningful amount of perennial unprofitable capacity by others leaving the market. However, in Q1, premium revenues continue to lead the way, while standard main cabin seats continue to show some weakness. This main cabin weakness is due to unprofitable capacity offered by other large spill demand U.S. carriers as ULCC capacity becomes less relevant. We also have a tailwind in Newark later this spring with operations running well. We expect Newark to give United a unique RASM tailwind versus the industry considering the events last spring. With the number of flights now limited to what the runways can accommodate, our customers can and are booking in confidence. We did make aggressive Latin capacity adjustments for Q1 to correct underperformance we saw in Q3 and Q4. However, recent geopolitical events are having a measurable negative impact on bookings in the Caribbean. Yet, we still have a chance at positive Latin RASM depending on when concern dissipates. All United hubs were once again profitable in Q4 and for all of 2025. A fully profitable hub framework allows United to invest incremental capacity on a solid foundation. We think we're only 1 of 2 large U.S. carriers that can say all their hubs are profitable in 2025, and these same 2 carriers are expected to represent the bulk of industry profits in the year. We also believe that of the 3 airline hubs located in Chicago, only United's hub was profitable in 2025, and we expect it will be profitable again once again in 2026. Today, I also wanted to talk about our commercial focus points for 2026 to drive higher RASMs and margins. Our first focus will be new seasonal capacity shaping of our long-haul schedule. Peak demand for international travel has spread from the second and third quarters to other parts of the year. As a result of this shift, we expect the fastest-growing quarter for United's international capacity to be Q1 in 2026 with minimal growth in Q3. Flattening capacity across the quarters would have not been correct in 2019, but it is today. A second focus will be enhanced merchandising of our growing product lineup. We plan to increase segmentation and customer choices with our changes, which we'll announce in early 2026. This effort includes the largest redesign of united.com in a decade. Our third focus will be enhanced connectivity. We will soon approach the connectivity goals we set in 2021 with the United Next Plan by 2027. As a result, 2025 represents United's high watermark on domestic capacity growth as we draw this very successful part of the United Next plan to an end. Our fourth focus will be MileagePlus, enhancing the growth potential in the coming years via drawing a larger distinction between true loyalty programs and reward programs offered by others. We have a legacy contract that continues with our banking partners regarding core economics, but we still have plenty of ideas to boost growth in revenue in the meantime. And premiumization is our fifth focus in 2026. We've had this premium focus for almost 8 years now. And while our lead is now being followed by a range of other U.S. carriers, it's United's 7 business-centric hubs that dictate this plan and why we expect to be more successful at it. Last spring, we announced our new Elevated interior for our widebody jets, including the new United Polaris Studio suites, Polaris suites with doors, along with countless other upgrades to the soft product. 4 Elevated 787s are now being prepared for delivery in the coming weeks, and we expect 16 more for the remainder of 2026. These aircraft, along with other new deliveries will result in our premium capacity growth accounting for more than half our growth in '26. We look forward to another innovative set of products and aircraft announcements in 2026. United is defining what premium means for all customers, no matter where they sit or what they pay. Our United Signature Interior mods and Starlink installs are now moving at pace and will be completed in 2027, creating consistent premium product we hoped for when we announced United Next in 2021. A quick but important preview for 2027 is our long-term focus on gauge. While gauge is not a focus in '26, it will be in '27 and beyond as a much higher percentage of our growth equation. Most of our commercial focus areas in '26, of course, ladder up to decommoditizing our product, providing consumers with more choices and winning a higher share of brand loyal customers. We like our plan. We remain focused on doing more of the same in the coming years. With that, I offer my thanks to the entire United team for a great but challenging 2025 and hand it off to Mike to talk about our financial results. Mike?
Michael Leskinen: Thanks, Andrew. We closed out 2025 on a high note and delivered fourth quarter earnings per share of $3.10 within our guidance range of $3 to $3.50 and that's despite a $250 million impact to our pretax earnings from the government shutdown. 2025 was a challenging year for the airline industry. Between macro volatility and idiosyncratic challenges at Newark, each quarter of 2025 experienced a material event that pressured earnings and further widened the performance gap between industry leaders and laggards. Our full year 2025 EPS came in at $10.62 which was slightly up versus 2024 and despite an $0.85 headwind from our challenges at Newark. I expect we will be the only U.S. airline to grow EPS last year. This is an incredible proof point of United's ability to execute through times of elevated uncertainty when most of the industry cannot. An airline with a business anchored by brand-loyal customers isn't only more profitable, it's also more resilient. Our plan is working, and I'd like to thank the entire United team for their hard work in the face of all these challenges. I'd particularly like to thank our frontline flight attendants, pilots and customer service representatives. Through an extraordinarily difficult time during the government shutdown, you served our customers, leading to the highest Net Promoter Scores in United's history. Over the last year, we've invested $1 billion in the customer and, as a result, customers are taking note. From larger clubs to free StarLink Wi-Fi to United product offering as well as further segmentation continues to attract more and more brand-loyal customers, driving strong top line performance and more durable earnings. The investment in the customer has been enabled by our industry-leading efforts to drive cost efficiencies across the core business. In the fourth quarter, our CASM-ex year-over-year was up only 0.4%, bringing our full year 2025 CASM-ex up to 0.4% as well. We expect this performance to be industry-leading and will continue to drive efficiencies across the business in 2026. Now turning to the outlook. Looking to the first quarter, we expect earnings per share to be between $1 and $1.50, an approximately 37% earnings improvement versus the first quarter of last year at the midpoint and margin expansion year-over-year. Building off a strong quarter, for the full year 2026, we expect earnings per share to be between $12 and $14. At the midpoint, this represents over 20% growth and implies continued margin expansion as we march towards double-digit margins. Turning to the fleet. This year, we expect to take delivery of over 100 aircraft -- 100 narrowbody aircraft and approximately 20 widebody aircraft. Accordingly, we expect our capital expenditures for the year to be less than $8 billion consistent with the $7 billion to $9 billion multiyear CapEx guidance we provided back in 2024. On the balance sheet, becoming investment-grade rated is a major priority of mine, and in 2025, we made meaningful progress towards investment-grade metrics. We paid off $1.9 billion of our high-cost COVID-era debt and brought our total cost of debt down to 4.7%. Our net leverage at the end of the year was 2.2x. As a result of our deleveraging efforts, combined with our earnings power and industry bifurcation, we've received 5 upgrades to our credit ratings across Moody's, S&P and Fitch over the last 13 months. United is now just one notch below investment grade at all 3 agencies, our highest ratings in over 25 years. In 2026, we plan to delever further and target net leverage below 2x with the intention of achieving investment-grade metrics by year-end. We're hopeful to achieve investment-grade rating shortly thereafter and are committed to managing our balance sheet to achieve that goal. Free cash flow generation remains a key priority. In 2025, we generated $2.7 billion in free cash flow, and in 2026, we expect to deliver a similar level of free cash flow given higher aircraft deliveries. In the medium term, we expect free cash conversion to remain around 50%. And as we exit the decade, we continue to expect free cash conversion to expand to around 75%. On the buyback, we have $782 million left in authorization from our Board of Directors. We will continue to balance our priority of being investment grade with making opportunistic purchases of our shares when market opportunities present themselves, hopefully less frequently. 2025 proved United could effectively manage through macro volatility and company-specific challenges while also delivering resilient earnings. Our relative margins remain strong and moving forward our focus will be on continued margin expansion and achieving double-digit margins. The industry continues to transform, and competitive dynamics are evolving with United firmly in the lead. Taken together, United Airlines is positioned for another year of growth and success that will drive value to our employees, our customers and our shareholders. Now back to Kristina to kick off the Q&A.
Kristina Munoz: Thank you, Mike. We will now take questions from the analyst community. Please limit yourself to one question and if needed, one brief follow-up question as we hope to get to as many of you as possible. Colby, please describe the procedure to ask a question.
Operator: [Operator Instructions] Your first question comes from Conor Cunningham from Melius Research.
Conor Cunningham: Just on the corporate travel comments, you've noted a lot of strength there in January so far and I actually think that's your much -- most difficult comp of the quarter. So if you could just talk about how things change throughout 1Q. I just think that you're going to be exiting at a much higher booking rate in March than you are right now. So if you could just talk about that in general.
Andrew Nocella: Thanks, Conor. I think I agree with your conclusion. 2026 has gotten off to a really, I think, very strong start. But in particular, business volumes have gotten off and are just really compelling. And the way I look at it is, if you think back to early 2025, we saw actually strong business volumes at first, but those numbers quickly trailed off to be up just very low single digits in February and March. This year, for the same early January week, business revenue is up high single digits and nearly 20% year over 2. So if current business volumes simply continue, you'll see year-over-year growth for the last 2 weeks of January for business, up 12%, 13%, 14%. The further you push this math into February and March, the stronger it potentially gets. So I think I agree with your conclusion. Well, it's still early in the year, but just -- we're off to a great start from a business point of view.
Conor Cunningham: Okay. Great. And then, I mean, I know you spent a lot of time diversifying away from the main cabin and with all the premium and corporate and all that stuff that you're doing, but it just feels like we've been -- I mean, you noted ongoing issues in the main cabin into 2026 so far. So if you could just talk about how that segment potentially flips to the positive and are you assuming any sort of like rate of change or that flipping positive at some point later in the year?
Andrew Nocella: Well, look, I think it's inevitable. Premium cabins are really on their fourth year in a row. But I do think it's inevitable that the coach cabin, the main cabin improves. And it's a really simple equation. It's the unprofitable capacity offered by others in the marketplace that continues to fly more than you otherwise expect to fly. So we'll see how that all shakes out. I can't predict the timing, but I do think eventually businesses stop doing unprofitable things. We'll have to see when that happens. But I remain bullish that we are going to see the performance of the main cabin flip at some point in the future. And when it does, that will be enormous fuel to our margin growth and be great for the industry itself. So time will tell, but I remain optimistic that we're on the course for that at some point in the future.
Operator: Your next question comes from David Vernon with Bernstein.
David Vernon: So Scott, maybe I'd like to get your thoughts on how you're thinking about some of the changes that are being discussed around the credit card ecosystem and what that might mean for United as we look forward the next couple of years. If some of these changes are implemented, how do you think about what you can do to manage around it? And what are you and your partners thinking about as the most likely set of outcomes as far as whether it's a cap on interest rates or the credit card competition, what have you.
Andrew Nocella: Sure, I'll take the question. I think it's a really good and relevant question, obviously. And first, we're in constant contact with Chase on the issue. Obviously, Chase is our largest co-brand partner, and we talk to them all the time on this issue. And what I'd say is while much remains uncertain, of course, United's portfolio would be impacted. But in our view, it would be impacted a lot less than just about everybody else. MileagePlus co-brand holders tend to skew towards higher FICA band ranges, often revolve at a lower rate and have low loss rates. These factors make us different than most non-airline co-brand programs and maybe even a lot different from a lot of other airline co-brand programs. We're going to let the banks sort this out. Interest rates and revolve rates are more their thing. Our focus is on providing amazing benefits via this program that our consumers love. So a lot more to come on this subject, but we feel like we're on top of it and we will be ready for whatever happens in the future.
David Vernon: And then maybe just as a quick follow-up, you mentioned some additional stuff you might be able to do outside of the -- on top of the existing sort of agreements that you have with your card partners. Any more color you can give us in terms of kind of what that means in terms of specific changes or enhancements you can drive the program in the near term outside of renegotiating the contract?
Andrew Nocella: Sure, I'll do my best. But first, I want to welcome Jarad Fisher to the team. Jarad's our new Head of MileagePlus. He has experience in credit cards, strong brands and airlines which make him a perfect fit to lead MileagePlus into the next chapter. Richard and Luc have just done a great job. And as you can see from our new card growth stats that I said earlier in 2025 along with our remuneration growth. I know I often talk about these changes at MileagePlus without a lot of details. But what I'll tell you is Jarad and I will have a lot more to say about this, and we're going to say something within the next 10 weeks to accelerate growth and pull levers that we can pull that are in our control. So just a few more weeks and I'll be able to, I think, answer that question sufficiently for you.
Operator: Your next question comes from the line of Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: Great quarter. Mike, maybe this first one's for you. The unit cost has been stellar across 2025 quarters even in light of the investments you guys are making around the product, the experience. And you're debunking that sort of view that there's a variable cost relationship here. So maybe can you dissect what you guys are doing right, what the opportunities are for efficiencies going forward and how that plays into 2026 growth?
Michael Leskinen: Thanks, Sheila. And I'm very proud of our cost performance in 2025. I think it will prove to be industry-leading, as I said in my prepared remarks. Look, the cost efficiency in 2025, in the fourth quarter, the operation -- the strong operation form the foundation. And so a lot of credit goes to Toby and his team for driving that strong operation. Strong operation is a cost-efficient operation. But in addition to that, we are driving a real cultural efficiency here at United Airlines. And I'll give a few examples, and we can talk more about it as time goes on. But a few examples are as we continue to invest in an industry-leading app, it drives a lot of automation for quicker check-in. It's customer-pleasing. It also takes some costs out, some variable costs out of our system. We've also overhauled our global procurement organization. And I'm really happy to say that through this first year of that overhaul, we've identified and delivered on $150 million in run rate savings in the procurement organization and there's a lot, lot more to come. And then finally, we are using sophisticated technology to help model -- to model demand for our tech ops organization and that's leading to more productive technicians, fewer grounded aircraft and a more productive fleet overall. So those are few examples. I'll tell you that there's more to come. This is a culture at United to drive an efficient operation. We reinvest a lot of that in the customer, and it's helping to drive higher structural profitability for United. So thanks for the question.
Scott Kirby: And I just want to add on, mostly to compliment the team, I think this is, from an investor perspective, one of the differentiating points of United versus all the other airlines in the world. We are the best airline in the world at the real core cost efficiency, something we've talked about a little in the past. And credit to Mike, Brett and Jonathan Ireland, who's sitting in this room; Toby Enqvist, our Chief Operating Officer; and Jason Birnbaum, who runs technology for us. We've culturally are great, but we've also made technology investments that I know do not exist at any other airline. And that's the foundation, the culture and the technology that drives core efficiency. We keep doing more and Mike told you a bunch of the tactical things that happened recently, but then we keep finding more. One of my favorite stories was we finished the budget last year and finished the budget, and Toby came forward and said, I think we got chances to drive another $250 million out of that operation in core efficiency. Nothing that impacts the customer, that helps the airline actually run better and saves money. And there's no other Chief Operating Officer in the world that is doing that. They're all begging for more money in their budgets. Like this is real at United, I think we're going to drive costs for years to come that outperform the rest of the industry because what we're doing is real and is not coming at the expense of employees or customers.
Sheila Kahyaoglu: That's great. And maybe if I could ask one on your fleet, you talked about '25 being a high watermark for growth, but you have 100 narrowbody deliveries plus 20 787s. So that's 10% growth by the end of '26 given you only show 20 retirements, plus you have the gauge benefit that accelerates in '26. How are you thinking about the guardrails to capacity growth this year? And where in the network and the fleet plan you're keeping a buffer there?
Andrew Nocella: Well, look, we're not going to give capacity guidance other than to tell you that our United Next plan has been working well and this last -- past year was the high watermark. So we'll manage capacity as appropriate for demand, but that's the guidance we're giving today.
Michael Leskinen: And Sheila, regarding the 100 narrowbody deliveries, it could be a little more. I mean, Boeing and Airbus have been doing a better job of repairing the supply chain that's been damaged from the pandemic. And so production rates are improving. If we get a few more than that, we're going to welcome that on the narrowbody side. That's going to help us up-gauge more quickly and the profitability of those new aircraft is really robust versus the aircraft that we can replace. And on the widebody front, it's a similar story. We expect 20 787s in 2026. I think we'll take about that amount in future years as well. And that modernization of the widebody fleet is not just for growth, but it helps drive better profitability and better returns on capital for United going forward. So I feel really good about the CapEx profile and what it's going to do to the financials.
Operator: Your next question comes from the line of Catie O'Brien with Goldman Sachs.
Catherine O'Brien: Andrew, I wanted to start with you and just dig in on how you're thinking about the sequential trends by region underlying your 1Q EPS guidance. Is it fair to assume that most of the $250 million pretax hit was driven by lower domestic revenue? So just trying to understand, like should we see the most sequential improvement in domestic? Obviously, you had really strong performance in some of the international regions in the fourth quarter, so really just trying to get a sense of the relative improvement you're expecting between the 4 regions.
Andrew Nocella: Yes. Clearly, in Q4, the larger hit was domestic. I wouldn't say international is 0 from the government shutdown, but it was mostly domestic. As we look into 2026, we do have this Caribbean situation which is impacting the numbers there. So I'm going to be careful what I say about the Caribbean. We still think it could be positive but it's going to be close. But we are looking for sequential improvement everywhere. Clearly, the Atlantic is leading the way, which is great to see. We're growing a lot across the Atlantic. A lot of it is Israel, but we're still growing a lot across the Atlantic. And we think we've got the capacity equation really dialed in, in that region. So we're really proud of that. Pacific, I think looks pretty darn good. South Pacific is not as good as the North Pacific. And domestically, it's going to be another improvement. And what I'd say is premium cabins are leading the way, not only domestically, but across the entire network.
Catherine O'Brien: Great. And Mike, maybe one for you on the '26 cost outlook. Obviously, understand -- not asking for guidance. But you just detailed a bunch of things that you were really excited about this year, the operation, the procurement, like there are some pretty big numbers that you guys have gotten out of the system. I guess, on the '26 punch list, like what are the opportunities you're most excited about? Is it just following down some of these same paths? Like how should we think about the opportunity to cost out this year versus the great success you had in '25?
Michael Leskinen: Thanks, Catie, for the question. I think a continued strong operation, number one. I mentioned global procurement. We're just getting started there, so you should see continued improvements on that front. And then we're working with our technology team led by Jason Birnbaum and there's some significant multi-hundred-million dollar opportunities there. So we'll give you more details as we deliver on those, but this is a permanent cultural shift at United to drive efficiency.
Operator: Your next question comes from the line of Ravi Shanker with Morgan Stanley.
Ravi Shanker: So it's pretty clear that your full year guide is quite conservative. I think you guys may have hinted at that in your comments as well. Just trying to get a sense of kind of is this as conservative as it usually is? Or do you see reasons to make it kind of even more conservative for '26? Just trying to get a sense of how many acts of God are in that full year guide for this year.
Andrew Nocella: Well, look, the way I would -- obviously, Scott said something last night about this, so it helps with the answer just a little bit, I suppose. But let's think about the process. We think carefully about all these forecasts and we're pretty consistent on how we approach it. We did our forecast for 2026 more than a few weeks ago. And clearly, as we refined it coming into the new year, we focused on refining it in Q1 because that's where we're at. And we focus less on refining it in Q2 and beyond because that's how we do the process. So we'll see how it goes. I'll just start off with the year's gotten off to a really great start. The international entities are looking pretty darn good, even the Caribbean, considering the situation we're facing there. So we remain bullish, and business demand looks really pretty amazing right now and we'll see if that continues. If all of that continues, which I assure you we think it is, and Scott definitely thinks it is, our forecast will prove to be more conservative than it usually is. But that's all I'll go with at this point. Maybe Mike wants to add to that.
Michael Leskinen: Ravi, I'd just say 2025 proved a year. If we talk about acts of God in this industry, we got walloped. The industry got walloped. And I'm incredibly proud of United's full year results. I'm particularly proud of the fourth quarter where we had a government shutdown. Just about every other major airline had to issue 8-Ks to update their guidance and we delivered within our original guide. That is testament to how we guide at United Airlines to make sure that we deliver on our financial commitments even in imperfect times. And 2026 will be no different.
Ravi Shanker: Very helpful. And on that note, kind of obviously you guys are coming to the end of the United Next kind of original guidance range. I mean 2026 seemed like eternity away back in '21, but here we are. So what can we expect next in terms of like when do we get the next set of long-term targets from you guys? Obviously, incremental loyalty, [ disclosure ], kind of what's the timing on that? And what is the forum for that?
Michael Leskinen: Ravi, I am thinking about that. And all of our quarterly calls and, frankly, when we go to conferences we talk -- I think we talk very big picture, very long term, which is serving us well. It is important that we have long-term goals that we communicate with the investor base. At this point in time, our commitment to get to double-digit margins, our commitment to get to free cash flow conversion of 75%, our commitment to get to investment grade, those are the longer-term benchmarks that we're fighting for. And so I feel like we're in a pretty good position around long-term targets at this time.
Andrew Nocella: And I'll just add, we look forward to sharing what comes next. And what comes next is something that I've been thinking about, and the entire commercial team has been thinking about for years because in order to prepare for what comes next, we need to put that into place with a lot of foresight and a lot of thought. So we look forward to sharing with all of you at some point in the future. But rest assured that we have a lot of, I think really great commercial plans and opportunities for the latter part of this decade.
Operator: Your next question comes from the line of Jamie Baker with JPMorgan.
Jamie Baker: Scott, I'm guessing the term CALite just got a few dozen more Google searches today...
Scott Kirby: Well, you remember it without searching.
Jamie Baker: Yes. No, I appreciated the comments. So Andrew, sorry, I'm just getting over a cold here. Andrew, in your prepared remarks and also to Conor a few minutes ago, you mentioned that some degree of unprofitable domestic flying out there is increasingly a function of hub-and-spoke peers as opposed to the usual domestic discounter suspects. Now in the case of discounters, I think it was very reasonable to assume that a lot of that would go away just given the staggering system-wide losses. But the difference with certain hub-and-spoke competitors that you referenced, their returns are subsidized by loyalty and premium. So put differently, discounters had no choice but to back off. As Scott likes to say, it's just math. But hub-and-spoke peers do have a choice. I'm curious if you agree with that. And if you do, does it influence your confidence that ultimately some of these competitors do cull that loss-producing capacity?
Andrew Nocella: Yes. I think it's a really good question. I think economic gravity is the same for all and money-losing businesses need to figure that out and do something different. And in this case, I do think money-losing routes or hubs should ultimately be closed. I have some experience in this. I've worked on closing a number of hubs in my career at different airlines, not at United, obviously. And these decisions are complicated and big. But ultimately, it was making rational capacity decisions and recognizing what makes money and what loses money kind of has led at least United to where we are today. And there's only one other airline, I think, that can say that all of their hubs make money. And so I still have a lot of confidence. I just don't know when, but I have a lot of confidence that money-losing flights will eventually exit the system, and airlines will move to what they do best, and the industry will be better off, and all the airlines will be better off. But I don't know when and it may be a while, and they do have a lot longer runway than other airlines for all the reasons you said earlier. But again, I'll go with economic gravity applies to all.
Scott Kirby: And by the way, Jamie, I'm just going to, since Andrew talked about closing hubs, say one of the things just my opening remarks about Andrew and Glen being the 2 best in the world. They have each closed 3 hubs that I can count in my career. The most important thing for a successful commercial airline is know when to pull out of loss-making markets. It's emotionally hard to do. Very few people have the discipline to do it. It is the most important characteristic for somebody that's going to run a network at any airline in the world, and it's rare.
Jamie Baker: I appreciate that, Scott and Andrew. And then just a quick follow-up, something, Andrew, I think you and I were discussing it in person not so long ago or maybe it was me and Patrick. But the fact that many of your recent international additions were coming in at a margin premium to their geography as opposed to a deficit that would hopefully rise over time. I'm curious if that's still the case. And if it is, how long can that continue? And should we assume that those premium margins get competed away over time? Or are they sustainable, which would imply the broader geography also gets more profitable, holding other inputs constant?
Andrew Nocella: Yes. That's a very broad question. And look, I would say that there's nobody better in the world than Patrick than -- looking at these opportunities. And what we have found, which I think is contrary to normal, is that the fruit that we're picking off the tree after all these years continues to be excellent. In other words, we're able to find different opportunities because the world is getting smaller. The aircraft technology obviously with the 787 has changed. But most importantly, United is different today than it was a decade ago. And our differences in attracting the brand-loyal customers, as Scott often says, our product, everything we do, has enabled us to add these new routes that couldn't have been done years ago and add them at higher margins than the bulk of what the airline has done. So it's a remarkable journey. And I think on the international front, we're frankly just getting started. New York, San Francisco, Washington and L.A., when you combine all those together going across the Pacific and the Atlantic, there's just amazing opportunities. And I think, obviously, you know that the A321XLR is being made for us and will arrive and we're going to use that aircraft for its unique capabilities, not unlike Continental did 20-plus years ago with the 757. And I think we'll be the only airline to use the aircraft in a way that really does bring on a bunch of new markets. We're not trying to down-gauge, over-gauge widebody jets, for example. We're looking to expand our network and our scope and our depth. And there's just a lot more to come on this front. And so kudos to the whole United team. It is just an amazing achievement, and we look forward to seeing what our international network will look like a decade from now.
Operator: Your next question comes from the line of Tom Fitzgerald with TD Cowen.
Thomas Fitzgerald: I wonder if you could expand a little bit on the distinction between the loyalty program and rewards program. You've commented on that a few times. I'd love to hear like how investors should think about MileagePlus being differentiated.
Andrew Nocella: Sure. I think the most simple way to think about it is churn of members. People join our program and stay with it just about forever and people grab and get our credit card and stay with it for a very, very long time period. So we have very little churn in our programs, and therefore we don't need to do extraordinary things to attract people to United. We already have done it with a great product, a great network and rewards that they really want, which is travel. Like people really want a first-class seat or a Polaris seat to Tahiti as a reward. And all of the other programs out there tend to use constant bonus points and other benefits and have a lot of revolve around customers going in and out, switching credit cards, so on and so forth, often to game the systems. And I just think an airline program, and particularly the United program, is different. And as we approach the future, we should harness the power of that to figure out how we can make it even stickier and grow it faster, which is what we'll talk about in the next 10 or 12 weeks.
Thomas Fitzgerald: Okay, that's really helpful. And then just as a quick follow-up, it seems like an important monument that 2025 is a high watermark on domestic capacity growth. So maybe just remind investors how they should think about as you guys harvest some of the gains from achieving your United Next investments.
Andrew Nocella: Sure. In 2021, we announced United Next and we announced the growth that would come from the connectivity. The growth was always the outcome of the connectivity. We weren't growing for growth's sake. I think that's really important. And remember at the time we did distinguish that not all growth is equal, which was really controversial back in 2021 because I think many thought it was, and I think we proved it was not. So as we've gone through the whole cycle of United Next, we are approaching our connectivity goals. We'll hit them in 2027, probably a year late given some of the delivery delays we experienced from Boeing, but close on time in the grand scheme of things. And as we do that, our hubs have reached this critical level, around 650 flights per day in our mid-continent hubs with a lot of connectivity, big banks and large airplanes. It's exactly what we were contemplating. So as we go forward past 2027, we're going to be a lot more focused on gauge and growing our operation that way versus more flights. We do think there is a point when hubs grow past 900 flights per day, for example, that the marginal economics become really challenging. You compete against yourself, and you drive a lot of operational complexity no matter how many runways you have available to fly from. So we really like our plan. It's based on moderate frequency levels and large aircraft. And I don't want to give too much of a preview for what comes next, but that was a good hint as to where we're going. But -- so that's -- the high watermark comment is related to all of that. And I'm glad to get back to focused on gauge in 2027 and beyond. I think it's going to be very lucrative for the business.
Operator: Your next question comes from the line of Brandon Oglenski with Barclays.
Brandon Oglenski: Congrats to the team on what was a pretty good year in a tough environment. But Scott, and I don't mean to kiss up too much here, but I think a lot of folks on this call really appreciate your industry commentary and a lot of your projections have been correct the last few years. Can we talk about just broader industry growth? Because if we look at revenue to GDP or even revenue growth last year was effectively flat versus GDP that was up 3% or 4% nominal or real. Do you think this signals that we're just like in a shrinking industry now? Or has Zoom taken over? Or has this really been too much low-cost capacity in the industry just can't get pricing? What's your prognosis here?
Scott Kirby: It's a supply challenge -- problem. It's not a demand challenge. It's a supply problem and it's a supply problem. I'm not going to call it low-cost capacity. It's a supply problem with [ fuel ] carriers. And Andrew said it and I'll repeat it, like economic gravity ultimately wins, doesn't win overnight. Ego usually beats economic gravity in the short term, but economic gravity always wins in the end. And I feel pretty optimistic that even in this environment, well, I feel really good even in this environment how well United is doing. The brand loyal strategy I thought was going to be successful. I've been on this path with Andrew for really for 20 years. We switched airlines but we've been on this path for 20 years. I thought it would be successful. It is more successful than I thought. Like it is remarkable how much resilience we have in bad times or to competitive activities. And so that's good. But I look at some of the flying competitors, and it's going to push north of negative 20% margins this year. You can do that for a little bit of time. But when the down -- I actually have to be honest with you, I think that supply really comes out when the next downturn hits. The next downturn is going to make it extremely tense for airlines that are going into it with breakeven-ish margins in good times. And so I think that's probably what it takes for the next kind of wave of supply. So I think we'll do okay in main cabin between now and then. We'll do well in premium. I think to an earlier question we are targeting growing margins adjusted for any kind of anomalies that happen, growing margins a point a year, that means we got to make up a point from last year, by the way. And I think that takes us into the low double digits. And then I think when the next downturn hits, coming out on the other side of it and the supply comes out, we come out with mid-teens margins. So that's a long answer, but off the cuff, but that's what I think is going to happen.
Operator: Your next question comes from the line of Michael Linenberg with Deutsche Bank.
Michael Linenberg: Just touching back on kind of what Jamie brought up. I think the prevailing view is that domestic will be the best-performing geography in 2026, maybe domestic RASM, maybe profitability. But when I think about the fact that one of your competitors in Chicago is adding a lot of flights and I've seen reports that they're already losing, I don't know, $700 million or $800 million under their current schedule. Is that going to be a drag on your domestic to the point that maybe it's transatlantic, maybe it's another geography that comes out on top, or do you have maybe a diversified enough domestic network? I mean you have a massive domestic network that will be more than overshadowed by strength in some of your other markets, like Newark, for example, which is probably going to run very well in 2026.
Scott Kirby: Well, thanks for the question, Mike. I was afraid we were going to get through the call without addressing Chicago. So I'm happy to do it. And it's probably a good follow-up to the last question that I talked about. And I wanted to start with, at United Airlines, we've been a decade-long strategy to build a brand-loyal customer airline. That was all designed to get us out of the commoditized part of the industry where all that mattered was the schedule. And that meant in both -- focusing on the product, the technology and service to get customers to choose us. That's been a really successful strategy. It didn't happen overnight. It really has been a decade in the making, but you can see the results, and we've had market share increases everywhere that we fly. In Chicago, to be specific, in 2016, American actually had higher local market share with Chicago-based customers and higher share with business customers. In 2025, even after all the growth from our competitor, United now has a 22-point lead with Chicago-based customers in Chicago and a 38-point lead with the brand-loyal business customers. Being a brand-loyal airline just really inoculates us mostly from that competitive activity. And in fact, in 2025, even with all that growth, the Chicago RASM outperformed the rest of the system by 1%, and we made a $500 million profit. By the way, I think we probably would have made $600 million. So it probably cost us about $100 million. But our competitor lost $500 million even though they didn't start that really until May, so bigger on a full year basis. As we enter 2026, there's another wave of growth coming from that competitor. Mostly that's going to wind up exactly the same as it did last year, with one difference. In 2025, American added gates. That means we watched it. We could have responded. We chose not to. They're going to win 3 gates back at our expense when the analysis comes out later this year. We knew that was going to happen. We figured we'd just let it settle into a new normal and that would all be fine. But in 2026, we're drawing a line in the sand. We are not going to allow them to win a single gate at our expense in 2026. We're not trying to win gates, but we're going to add as many flights as are required to make sure that we keep our gate count the same in Chicago. Look, we're just going to stay focused. We've had the right strategy at the whole network for a decade. We're going to keep doing it. It's a winning strategy. It's working. We're going to keep doing that in Chicago. For what it's worth, I think that we will likely grow our earnings. Certainly, we'll make at least the same $500 million, I believe. And likely, we'll still be able to grow our earnings in Chicago for the same reasons it worked last year. American, and we're pretty good at estimating this is likely to push to about $1 billion in losses in Chicago. But we're going to just stay focused on the strategy that's worked for the last decade. Our team is doing a great job taking care of customers and it's working for us.
Operator: Your next question comes from the line of John Godyn with Citigroup.
John Godyn: Scott, I was hoping you could revisit your thoughts on the shape of industry structure from here. We've seen M&A announced among some of the smaller carriers. There seems to be an expectation of more. I'm curious what you think equilibrium in the industry looks like. And second, obviously when I think about your history, America West-US Air, US Air-American Airlines, you're no stranger to be a leader in M&A. Is there any scenario where United gets involved in M&A considering you have what seems to be an accommodative DOJ, which isn't always the case?
Scott Kirby: Well, I'm not good at resisting the bait, but I'm going to resist the M&A bait today. Bob Rivkin is nodding appreciatively at me. I'm not talking about that. But I think the structure of the industry is ultimately going to be low-cost carriers will shrink down to the niche that works for low-cost carriers. That is big leisure markets. And I don't know if they're going to liquidate, if they're going to merge, if they're just going to all shrink for sure. But they're going to shrink down to the niche that works and that'll be good for them. I think they can have solid margins, but it's a much smaller niche than where they are today. I think there's going to be 2 brand-loyal airlines. That's already the case. I gave you the numbers in Chicago. That game is over. I realize that not everyone knew the game was on. The game is over. And when we have that big of a lead with customers, like you just don't win it back because you'd have to have technology, product, services that were somehow better than United and somehow better than Delta to even start and you're a decade behind. And then I think the rest of it will be sort of finding places where you can get big in other cities, non-hubs of Delta or United and you can have a network that works and that's a little more commoditized, but you can have a network that works. And so I think that's what the structure. And it's an open question about whether consolidation helps us get to that structure. But that's where the structure is going to end with consolidation or without.
Operator: Your next question comes from the line of Scott Group with Wolfe Research.
Scott Group: So last quarter, I think you laid out an expectation we should get at least a point of margin improvement a year. I think, Scott, you just said it again. I guess the high end of the guidance range gets you there. The midpoint would be less than a full point. So I don't know, just at the end of the day, like help us think about price, costs this year given the momentum you've got right now, the comps that come in Q2, Q3. Like I would have thought this would have been the year where like it's a pretty clear like point of margin. Like is it just the conservatism that maybe you said a couple times? Or are there other things we should be cognizant of, I don't know, labor, what's going on in Chicago? I don't know. Just help us understand like if this is the year we should be doing the full point of margin.
Michael Leskinen: Scott, I love that you did the math. And trust me, we've done the math, too. This industry got hit by multiple asteroids last year. We want to make sure that we deliver on our financial commitments. We've given you very clear targets for the longer term, and we're going to deliver on those targets. The timing of which there's some uncertainty around. But the full year guide was very deliberate. We're telling you that if current booking trends stay on this path, there's upside and you should think about that as you make your own estimates.
Operator: Your next question comes from the line of Chris Wetherbee with Wells Fargo.
Christian Wetherbee: Maybe, Mike, just want to -- following up on that question. As you think about unit costs as you go through '26, obviously there's labor dynamics that we have to factor in. Exclude that, take a look at 2025, how good of a benchmark or sort of range that for us to use as we think about sort of ex labor dynamics of unit costs for 2026? And then maybe zooming out a little bit, sounds like you still sort of have lots of opportunity in terms of managing cost efficiency as we move forward. So how big a story is this beyond '26?
Michael Leskinen: Yes. Thanks, Chris, for the question. And look, we're not going to give PRASM guidance. We're not going to give CASM guidance. But we've been pretty clear about this is a new culture at United around cost management and discipline and driving efficiency. And let me remind you, we really have not benefited from gauge yet. That gauge benefit is still on the come. So '25 was a great year. We're going to work really hard to make '26 an equally great year from a CASM standpoint. And keep in mind, some of the tailwinds we haven't really started to even benefit from.
Operator: Your next question comes from the line of Atul Maheswari with UBS.
Atul Maheswari: First, just quickly, do you think there can be any meaningful tailwind from the soccer World Cup this year? And if so, is there anything that's assumed in the guide and any way to dimensionalize how large that tailwind can be?
Andrew Nocella: I'll take that. Look, we're looking forward to it. I'm sure some of us will attend a few games. I think the interesting thing we see is it creates what would be normally countercyclical traffic flows. So it creates inbound into the U.S. demand in June, which is normally an outbound time period. So quite frankly, yes, I think that we do expect some upside from that. Given the broader macro trends, I'm not going to judge exactly how much that is, but we do think this particular sporting event will be a positive for United. There are other large sporting events that are not because they drive just leisure traffic and business traffic evaporates in those situations. This is not one of the situations. So we do expect some level of upside. But I want to caution you, it's still -- given the size of United, I'm not sure it's all that meaningful, but it is positive.
Atul Maheswari: Got it. That's helpful. And then second question, one point of pushback that we get from longer-term investors who want to deploy capital to airlines and to United is that how can industry capacity discipline persist as Boeing and Airbus ramp up deliveries from here, like headline numbers for last year is still pretty positive with respect to capacity growth? So how can that persist? Like what can you say to give comfort to those investors that capacity discipline can, in fact, persist [ against ] ramp-up deliveries?
Scott Kirby: First, we never say those words and I'm not even going to repeat them because that's not how we think, and we don't ever say those words. But what I think the limit on capacity is not about aircraft. It is engines. It is already engines. There's about 800 aircraft around the globe that are grounded with engines. We even have some -- we bought tons of spare engines in advance, but we even have some that are going to be grounded this year for engines. The engine manufacturers are not going to catch up to the combination of the need for MRO replacement engines and new aircraft deliveries, in my view, until sometime next decade. So engines are the constraint.
Operator: We will now switch to the media portion of the call. [Operator Instructions] Your first question comes from the line of Leslie Josephs with CNBC.
Leslie Josephs: Just wondering, can you please clarify what you meant about the Caribbean? This is an airspace closure in the beginning of the year that's impacting bookings now in Q1 and you said that it was measurable. Could you provide some more detail on that and how much that might cost? And then second, your competitor in Atlanta was hinting at some segmentation at the front of the plane. Just wondering where United might be on that. And is that -- could we see a stripped-down business class or first-class products maybe no seat assignment or something along those lines?
Andrew Nocella: Leslie, it's Andrew. Look, on the Caribbean, we're a pretty big airline in the Caribbean and we're a small airline in the Caribbean. I'm just pointing out that there's been a little bit of a book away from the Caribbean. I don't think it's measurable in the grand scheme of things when it comes to United Airlines, to be blunt. But demand has been impacted by the situation in Venezuela to some extent. We expect that to dissipate over time. And in fact, the last few days have been better than the first few weeks of the year. So I think we're in good shape on that front. And look, on cabin segmentation, I'll add that that's been very good for United Airlines over the years as we invested in more premium products and larger array of products out there. So we're going to continue to do that. The only more reasonable hint I'll give you is that we have a large redesign of united.com coming as we seek to do different things on how we sell products. So we'll leave it to that, and we'll talk to you sometime in the first quarter or second quarter about our overall strategies on merchandising.
Operator: Your next question comes from John Pletz with Crain's.
John Pletz: Scott, any color, additional color on Chicago? Drawing a line in the sand, does that mean you're going to add flights?
Scott Kirby: It does.
John Pletz: Can you give me a little color on what scale you might be considering adding flights here?
Scott Kirby: They will be -- the color will be they will be in the black while American is in the red.
John Pletz: All right. And any idea how much, I guess, is what I'm asking?
Scott Kirby: No. I'm not going to announce that today. I think we're going to have a scheduled load next week. That'll give you the answer.
Operator: That concludes our question-and-answer session. I will now turn the call back over to Kristina Edwards for closing remarks.
Kristina Munoz: Thanks, Colby, and thank you all for joining us as we celebrate our 100 years here at United Airlines. Contact Investor and Media Relations if you have any further questions. Bye.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.